Operator: Ladies and gentlemen, thank you for standing by. Welcome to the First Quarter 2013 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder today’s call is being recorded. I would now like to turn the conference over to our host Mr. Enrique De Anda. Please go ahead.
Enrique De Anda: Thank you, Rita. Hello everyone and welcome to the conference call. Before we begin, I would like to remind you that today’s discussion will contain forward-looking statements related to future events and expectations including our expected future financial performance, results of operations and financial conditions. These forward-looking statements involve important known and unknown risks and uncertainties which could cause our actual results to differ materially from those expressed in our forward-looking statements. Please review the forward-looking statements disclosure in today’s slides and press release for a full discussion of these risks and uncertainties. In addition we have included some non-GAAP financial measures in our discussion. Reconciliations to the most comparable GAAP financial measures can be found in the appendix to today’s presentation and on our website at centuryaluminum.com. I’d now like to introduce Mike Bless, Century’s President and Chief Executive Officer.
Mike Bless: Thanks, Enrique. Thanks everybody for joining us this afternoon. If we could turn to slide four please, give you a quick review of what we’ve been working on over the last couple of months. First just to set some context on the - at the macro-environment it’s been reasonably difficult to read recently for us and I think similarly for many of you. End-market demand in our key vertical markets in the U.S. remains decent. We’ve had a couple of segments off a little bit from a growth perspective over the last couple of months but most remain pretty good. No real change in any other developed markets, conditions in the Eurozone as you know remain reasonably poor. Data from China indicate some slowing that was difficult at this point to find any real trends there in our opinion. We’ve obviously seen a significant sell off in the prices of all commodities. The price action has appeared seemingly indiscriminate with no evidence of most of the normal relationships and correlations to which we are all accustomed. It’s difficult in our opinion at this point to call where things are heading here over the next couple of quarters and thus as we execute our strategic plans that which I’ll talk to you in a moment. We’re being careful to build in some good flexibility. Okay, let’s move on we’ve had a very good quarter in the operations most importantly our safety performance remains flat to a very good fourth quarter of last year. We remain very focused on programs to identify areas – with the potential for serious injury and obviously to prevent those kind of accidents before they occur. The operations have remained stable, production volume, efficiency metrics all remain very good. Costs are also stable and Shelly will give you some more detail on that in just a moment. These safety and operating performances especially notable at Hawesville given the uncertainty surrounding the power contract at that plant. And now let me bring you current on what’s being going on in Kentucky over the last couple of months. As you remember as we told you in February, we had sought a simple legislative solution to the issue there. The legislation would have allowed the two smelters in the state to access power directly from the competitive wholesale markets. As you probably know the smelters are by far and away the largest consumers of electric power in the state. We weren’t seeking any other help, we weren’t seeking any subsidies or anything like that. As we’ve said before and as we’ll continue to say Hawesville remains a viable plant with a market power price. Regrettably this solution which we thought was a pragmatic one failed in the legislature. And for that reason over the last month we’ve resumed direct negotiations with the power supplier. We’re trying to reach an arrangement that would accomplish in essence the same thing as the legislation would have at least from an economic perspective for Hawesville. While we are not there yet I can say the discussions with the power provider have been pragmatic and productive over the last couple of weeks. Given that we didn’t have an agreement yet we recently needed to give a four month termination notice to our largest customer as required under our contract with them. And at the same time we issued a Conditional WARN Notice to our employees at the plant. I can’t overstate that we’re doing everything we know-how to find a solution to keep this plant open. As I said before we’ve got a safe and increasingly efficient and productive operation in Kentucky. We’ve got a truly talented and dedicated group of employees committed to that plant and to the communities in which we operate. In my couple of decades in industrial businesses, I can easily say that I haven’t seen a group of talent so broad and deep as we have there. And that’s just one of the reasons that we remain dedicated to keeping this plant running and with the market base power and the flexibility on how we are able to buy it we continue to believe this plant will have a long life. Moving on to Ravenswood, the reopening of which remains a priority for us. We also believe Ravenswood could be a productive plant with a long-term future like Hawesville based on the emerging energy environment in this country. We continue to work on a solution to bridge the remaining gap in the effective energy price. We’re very grateful for the support that we received from the Governor of West Virginia and other key state leaders. And we want to make sure we’re able to prove to them that their efforts were worthwhile. Lastly at Grundartangi in Iceland, we continued to work on our two major investment projects there. Both of these projects will create long-term value at this already excellent plant and thus we’re continuing to execute these projects as I said a moment ago despite the current difficult macro-environment. Just to remind you what two projects are the first is the expansion of the plant hot metal capacity to increate it about 15% from where it was when we started this project. Project will take another three maybe four years and as we told you before these new tons will come on at a very attractive invested cost. We’re already seeing good benefit from this project. This past quarter the Q1 Grundartangi produced at an annualized rate of 288,000 metric tons. The other project as you remember is the restart of the anode plant in Netherlands that we bought out of bankruptcy. This will balance the supply we receive -- the anode supply we receive from our 40% owned affiliate in China called BHH and in addition it will improve Grundartangi’s cost structure. Okay, if we could turn to slide five please. Let’s make a couple of comments as normal about the market. The cash LME price in the quarter averaged about $2000 per metric ton that was flat to Q4. During the first couple of months of the quarter the price traded in a reasonably tight range about $2000 to $2100 as where it look liked it settled in and then of course we saw the rapid drop in March below that $2000 support level. Originally the price looks like it’s settled in again at least in the near-term at a range of about $1850 to $1900 a ton and sitting here this afternoon we’re trading a little bit above the high-end of that range. This price action has occurred consistent with all other industrial metals as you know and most other commodities. This in the face of fundamental data as I said a moment ago in most regions that remain stable if not robust. Therefore, we believe that speculative activity and other forces are at work in driving the prices of these commodities in addition of course to legitimate concerns about global fundamentals. LME stocks were relatively flat during the quarter. They were up only 2700 metric tons. However, we do know that other stocking did take place around the world for example China State Reserve Bureau bought a couple of 100,000 metric tons this past quarter. Premiums have remained at historically high level, U.S. Midwest Premium still trading just shy of $0.115 a pound. The duty paid European premiums softened a bit this quarter but it’s still at $280 a metric ton obviously very high in historical context. Japanese demand remains strong as reflected in a very strong premium of about $250 a metric ton. Couple of quick comments on alumina before we move forward, the average spot price during the quarter was up a bit averaged about $330 a metric ton. It’s come off just recently just a little bit. It’s now trading in the low to mid $320 per metric ton. And on a global basis, we believe this market remains balanced [and a modest] [ph] surplus, but as you know there is significant regional variances. If we can move on to slide six please. We have updated this cost curve for you. Just as a reminder, we state these costs adjusted for all premiums thus the data, which you are looking are directly comparable to LME prices. So, if you can see take a look at the chart you will see about 45% of global capacity is now operating at a cash loss. A significant portion of those fourth quartile producers continue to be in China. We are seeing some cutbacks around the world some of the higher cost regions in China have cutback some capacity, little bit in Europe and RUSAL within the last month or two has announced some capacity curtailments. But having said those actions aren’t offsetting a new capacity that’s coming on in Western China, where the power prices are lower and in the Persian Gulf. If we can move along to slide seven please a couple of quick comments about the operations. As you can see here, operating metrics remain evident of a stable operation as I said before. Safety performance is generally flat across the operations as I said versus a very good performance in the fourth quarter. We did see some little bit of a tick up in incidents at Hawesville in January and we are focusing on that and managing it very closely again given the environment of the plant. Production volumes were good across all the plants. Hawesville was down just about 0.5% on a per day basis quarter-to-quarter. Shelly will give you some more information on that. Mt. Holly as you remember was down slightly in Q4 and as we predicted came back with a very good performance in the first quarter. Production metrics and efficiencies are good across all the plants. And also as you can see conversion costs good performance across the board and Shelly will give you some more detail there. And with that, I would like to turn it over to her.
Shelly Harrison: Thanks Mike. You can turn to slide eight please I’ll take you through the company’s financial performance for the quarter. Average daily shipments were flat q-over-q but because Q1 had two less days total shipments were down 2% in the quarter. Shipments at Mt. Holly were up along with production but Helguvik experienced a reduction in shipments due to higher pot failures in the quarter as well as timing of shipment. In Iceland, we had direct shipments of approximately 58,000 tons in Q1, which is higher than we have seen in recent quarters. We expect the total and direct shipments will balance out over the course of the year to be in line with the forecast that we provided in Q4. The average cash LME price was essentially flat Q1 over Q4 but on a one month lag basis, the LME price was up about 3.5%. When you look at our realized unit prices in the U.S. they were up just under 3% quarter-over-quarter so pretty much in line with the change in LME. In Iceland, our realized unit prices were up 5%, which reflects the impact of higher direct shipments during the quarter. Moving on to the income statement data; net sales were up 1% q-over-q, Q1-over-Q4. The increase in the aluminum price drove net sales up by $9 million or 3%. The lower shipments offset a portion of this impact during the quarter. Turning to costs in our last earnings report, we put out an estimate of our U.S. and Iceland net cash costs for 2013. As you may recall the format we use takes cash cost on a per ton basis and the Dutch premium so that they are truly comparable to the LME price. On the same basis, our U.S. net cash costs were up about $40 per ton from 1976 in Q4 to 2015 per ton in Q1. This reflects the impact of higher LME linked alumina cost as well as the impact of trading fixed cost over the lower shipment volume in Q1. This impact was partially offset by improved carbon costs in the quarter. On LME adjusted basis, Q1 actual results were about $35 per ton higher than our forecast of $1,979 per ton primarily due to higher than anticipated labor cost at Hawesville as well as cost associated with the power contract negotiation. In Iceland, net cash costs were basically flat quarter-over-quarter at about $1580 per ton. The LME linked power cost for Grundartangi are based on our - are based on current month LME, which is also essentially flat compared to last quarter. Q1 actual results for Grundartangi were almost $40 per ton favorable to our forecast of 1619 per ton due primarily to lower carbon cost and higher total shipment. In the first quarter, we saw SG&A up $6 million over Q4. This increase relates primarily to severance and other cost associated with the corporate headquarters relocation to Chicago as well as increased legal fees. In Q2, we expect legal fees to remain elevated due to some outstanding litigation and other items. For the relocation, we expect to incur additional charges of approximately $5 million over the next two quarters for a total of just over $7 million in 2013. By Q4 of this year, the relocation should be essentially complete. Moving on to adjusted operating income with a couple of adjustments in Q1 in addition to our normal adjustments for depreciation and lower cost and market inventory adjustments, let me take you through those. In March, we reached final settlement on a legal claim related to the Ravenswood plant for $2.2 million less than the amount reserved on our balance sheet. As a result, we removed the benefit from this adjustment when calculating adjusted operating income. As I touched on before, we had a $2.2 million charge in the quarter related to the corporate headquarters relocation, which we also excluded from the calculation. So on this basis; you can see that adjusted operating income increased $3 million from Q4 to Q1. Continuing down the income statement, we had a quarterly adjusted loss of $2 million or $0.02 per share on total common and preferred shares. In addition to the adjustments I just mentioned, we also exclude a $15.7 million gain related to a write-down in the value of contingent obligation. As you may recall, when we unwound the Hawesville power agreement in 2009, we entered into a contingent obligation with the former power supplier and this amount is only payable to the extent, the LME exceed the specified threshold. Based on the forward screen at quarter end no payments will be required for licensing agreement and the contingent obligation in our balance sheet was reduced to zero. Lastly on this slide, I’ll just make a couple of quick comments on cash flow. As you can see here, CapEx for the quarter was $9 million. This includes $7 million for Grundartangi of which $6 million related to the expansion project. We also spend just under $2 million on Helguvik CapEx during the quarter. We expect Helguvik spending for the rest of the year to be less than $1 million per quarter unless there was a change in the status of the project. So, quarter-over-quarter, cash was up $11 million and we ended March with $195 million on the balance sheet. So, we go on to the next slide and I’ll take you through the changes in cash in a bit more detail. On slide nine, we show our normal cash flow waterfall bridging Q4 to Q1. We paid $11 million in taxes in Q1 most of which relates to an $8 million withholding tax payment that will be refunded to us in November. The remaining $3 million is primarily related to estimated payments of income tax for Iceland. So, the last thing I wanted to point out in this slide is the significant inflow from working capital. As I noted during our Q4 call, we expected this inflow in Q1 due to timing of metal deliveries right around year end. So, with that, I’ll turn it back to Mike to talk about priorities for Q2.
Mike Bless: Thanks, Shelly. If we could just turn to slide 10 as Shelly said we just want to give you a quick sense of some of the things on which we will be working here over the next couple of months. As you would expect, reaching an agreement with the power supplier in Kentucky is our most urgent near-term priority. Any preliminary agreement that we would reach would be subject till the completion of detailed documents. It would also require the approval of a Kentucky Public Service Commission and numerous other entities. Time is getting reasonably short so we are very, very focused on finding a solution here. Upon reaching even a tentative agreement, even one that would take, would require all the approvals in other word that I just mentioned upon reaching up tentative agreement, we would of course make the public announcement as soon as we got there. At Ravenswood, we would like to be in a position by the end of the quarter to know exactly what we have. On the one hand, we had the arrangement as approved by the Public Service Commission last fall. And on the other hand, we have the alternative on which we have been working. Once that is completed, we’d have all the information that’s required to make a decision as to whether a restart of this plant is feasible in the current environment. Discussions with the existing power suppliers in Helguvik have continued over the last couple of months but at a reasonably slow pace. As a reminder, the problem continues to be the weak financial condition of those two companies. The national elections in Iceland of this coming Saturday the day after tomorrow with the polls indicating a strong preference for the two political parties who are in government for most of the last decade. That said as you may remember that’s when we more than tripled the size of Grundartangi and signed all the agreements with the government and other entities for Helguvik. As a reminder this project is ready to recommence, the only requirement so the completion of those power contracts and an assurance that the transmission will be in place when this smelter is ready to produce. We’re hopeful that the environment post elections will be conducive to getting this great project going again. And lastly Shelly mentioned the corporate office relocation obviously we’ll be working on that, that we believe it will come in on time and under budget so that when we talk to you in July to report the second quarter we’ll be talking to you from our new offices in Chicago. And with that Enrique why don’t we turn it over for Q&A.
Enrique De Anda: Rita, we are ready for questions.
Operator: (Operator Instructions). Our first question comes from Dave Gagliano from Barclays. Please go ahead.
Dave Gagliano - Barclays: Hi, thanks for taking my questions. My first question I just wanted to verify it looks like obviously the cash cost for the first quarter in the U.S. were above the full year targeted range. Are you sticking with the full year targeted range at 1970, 2020 for U.S. operations or is that still a reasonable range for the year?
Shelly Harrison: We are and one thing I would point out Dave is that, that’s actually through August for the U.S. that does not include any change in the power contracts for Hawesville, we’ll update that later in the year once we have a better understanding of what that contract will look like.
Mike Bless: David, it’s Mike. I'll just add to that, the real – Shelly mentioned some of the reasons of – that we’re a little bit above that forecast and she mentioned labor cost and the one of the reasons where as you say sticking with that forecast I’d say still comfortable with the forecast is that the labor cost the reason it was up was a temporary situation. As Shelly noted production volumes at Hawesville during the quarter were a little bit under what we expected, we had a few more pot failures maybe six to seven pot failures than we had planned for and expected. We are through that now and we’re back to a full pot complement and so for that reason we remain comfortable with – that we’ll get back to where we need to be.
Dave Gagliano - Barclays: No, just to clarify the average for January through August for the U.S. you are still expecting to come in at 1970 to 2020 per ton?
Mike Bless: And that’s LME range, got it.
Dave Gagliano - Barclays: Right.
Mike Bless: Yep.
Dave Gagliano - Barclays: Okay, alright. Thanks very much.
Mike Bless: Thanks, David.
Operator: Our next question comes from David Olkovetsky from Jefferies. Please go ahead.
David Olkovetsky - Jefferies: Hey guys. So first of all I’ll get perhaps usual question out of the way. Can you give us a little sense for what’s going on in the put market for aluminum right now?
Mike Bless: Nothing, nothing on our, nothing in our book right now.
David Olkovetsky - Jefferies: Okay.
Mike Bless: We’re unhedged.
David Olkovetsky - Jefferies: Great. And then I apologize I hopped into the call just a few minutes late so I’m not sure if you mentioned it, but can you just give me a better understanding of the $15.7 million adjustment, what exactly is that and is that still, is there still liability on the balance sheet for the – on the contingent liability?
Shelly Harrison: So, the net impact on the balance sheet is zero at this point in time. I won’t get into the detailed accounting but to put simply the net impact is zero and that is because at the current forward screen there would be no payments required under that obligation.
Mike Bless: So it’s a non-cash charge so everybody knows and it was as Shelly said a contingent obligation that was on the balance sheet, it’s pretty simply you just take the forward curve and you discount what the payments would be under that forward curve back to the present like you’d value any asset or liability I suppose based on where the forward curve is today there is no liability when you calculate that. So we wrote off a liability which results in income.
David Olkovetsky - Jefferies: Can you, can that liability then reappear?
Mike Bless: Absolutely, great question, we hope it does.
Shelly Harrison: Yep.
Mike Bless: Because that would mean that the metal price is going back up and there it’s not unlike accounting for although you don’t have the same, you don’t fair value it exactly the same way but it’s not unlike accounting for a put option right. And for the same reason we hope that liability goes back on the books it will mean that, that curve is shifted upwards.
Shelly Harrison: And just as a reminder if it does go back on the books then it would only pay out in periods when the LME does exceed the specified threshold and it’s payable over a period of six years. So the cash impact is spread out over a quite a long period of time.
David Olkovetsky - Jefferies: Alright. Thanks, Mike, thanks Shelly.
Mike Bless: Sure.
Operator: Our next question comes from Timna Tanners from Bank of America. Please go ahead.
Timna Tanners - Bank of America: Yeah, hey good afternoon.
Mike Bless: Hi, Timna.
Timna Tanners - Bank of America: So it sounds to me like a lot of this conference calls sounds like last quarter’s conference call except that Hawesville is getting closer to a decision. And it seems to us like either way it could be good, right if you have to set it down although its regrettable I mean it’s been loss-making and if you an get a power plant a power price that’s viable and then that's positive. But I guess I want to see if that’s a fair assessment and then also how far can the aluminum price for that assessment of viable with market power prices still be reasonable?
Mike Bless: Yeah.
Timna Tanners - Bank of America: That makes sense, so how far.
Mike Bless: That will make sense.
Timna Tanners - Bank of America: Yeah.
Mike Bless: Thanks, no it made perfect sense. I would so kind of two parts to your question if I got it right.
Timna Tanners - Bank of America: Yeah.
Mike Bless: The first I would agree with other than I’m sure you would expect I would sort of characterize differently either I wouldn’t say either would be good, it would be devastating to us if we had to close that plant for a whole host of reasons. That having been said your assessment is correct we if we couldn’t get a power deal representative of the market of a market power price we would indeed close the plant and that as you say Timna would indeed – it would indeed close of an asset right now that’s making cash losses. So your points are exactly right. On the second part of your question aluminum prices would have to go below where they are today just to give you to remind you we cited this figure before. The difference right now between the price we are paying the power provider under the contract that expires on August 20th and the market power price is sort of fully delivered market power price if you just went out to the marketplace and look at your screen and then added the transmission tariffs and the other sort of ancillary fees equals something shy of $250 between $200 and $250 right between $200 a quarter and $250 per ton of aluminum you multiply that by 250,000 tons of production capacity at Hawesville and you get a sense of how sensitive that cash flow is to that power price. So it’s hard to answer your question because you’d be assuming obviously that power prices would remain constant if aluminum prices would be to fall, but certainly in the current environment and even below the current environment the plant makes cash flow at a market kind of power price.
Timna Tanners - Bank of America: Okay. And sorry to sound callous but a fair observation it’s been a long day.
Mike Bless: Okay, it’s okay, it’s okay.
Timna Tanners - Bank of America: No it is what it is. And so now that’s helpful and thanks for the reminder. I guess again just making the comment that some of these things are moving fairly slowly. So on the July call we should expect to hear from you from Chicago we should expect to have a decision on Helguvik we may or may not be proceeding with Helguvik, Hawesville and we may or may not have a decision on Helguvik or Ravenswood is that what we should be planning for.
Mike Bless: I think you nailed it, so yes Chicago obviously Hawesville yes if by July when we report I guess Shelly and Enrique we report towards the end of July. So that we would at that point in time have a decision one way or another and your characterization of the others are correct.
Timna Tanners - Bank of America: Okay, super. Thanks for the summary.
Mike Bless: Thanks, thanks a lot.
Operator: Our next question comes from Sal Tharani from Goldman Sachs and Company. Please go ahead.
Sal Tharani - Goldman Sachs and Company: Good afternoon guys.
Mike Bless: Hi Sal.
Sal Tharani - Goldman Sachs and Company: Hi, at Hawesville your largest customer I believe is Southwire, is that correct?
Mike Bless: That’s correct.
Sal Tharani - Goldman Sachs and Company: Okay. Are you having discussions with them in case you have to shut it down?
Mike Bless: Yes. As I said in my comments and we actually let’s see this would have been a week before last, we did need to use them, as we’ve said before our contract with them gives us the right to terminate at our option, at our sole option but with a four month notice, therefore August 20th you back up four months. So we did issue to them that formal termination notice I think it was either last week or the week before last perhaps. As you would expect, we talk to them everyday and so we - they knew it was coming. We keep - we continue to talk to them and we would continue to like to supply them hot metal assuming the plant and is going to - assuming the plant runs post August and based on what they said to us. We believe they continue to like to take hot metal as there are no next to our plant assuming Hawesville continues to make hot metal after August 20th.
Sal Tharani - Goldman Sachs: Well, they also knew that they had made some contingency plans and has invested some money as this thing was known for almost a year. They brought some equipment to have alternative source is that correct?
Mike Bless: I would never as you would expect, I would never make any comments to any third-party especially a very good customer so you have this now.
Sal Tharani - Goldman Sachs: Right. I was just wondering if that’s the case and even if you get the (luxury) contract would you lose any of your business or you think your business will be same as before in terms of volume you ship over there?
Mike Bless: Fair question. We were very confident Sal that irrespective of whether we sold to, we were to sell to or the full volume or any volume but let’s say the full volume to Southwire or not. We’ll sell every ton we produce at Hawesville. And as I said before we’re reasonably confident based on discussions we’ve had with them that, they would like to continue to buy from us. So, this is all - will all be discussed as we move forward and hopefully as we can report some time soon that if we get to the finish line that we have an agreement here.
Sal Tharani - Goldman Sachs: Okay. Switching to the Ravenswood, are you looking for a similar pricing arrangement as - at Hawesville you are asking about sort of based on the future scope of the spot market or the forward market?
Mike Bless: Yes that’s an excellent question and intuitive one. So, yes there is a potential there though the solution as you may remember you can go look at it. It’s filed on the West Virginia PSC, Public Services Commissions website. But the solution that they approved last September and then finally confirmed in December doesn’t contemplate Ravenswood purchasing from the competitive wholesale markets. That having been said I mean, I talked about this during the February calls, there is a potential when I - we talk about bridging that gap i.e., getting what we have on the table today and kind of getting it to where we - what we would need to have in order to reopen that plant. There is the potential to access in whole or in part the wholesale market, competitive markets to do that so that’s longwinded yes to your question.
Sal Tharani - Goldman Sachs: Is power contract the only thing left for making a decision is labor settled – labor?
Mike Bless: No it’s not. No, no, no that’s a very good question. Labor is not settled not because there is any conflict just because we haven’t sat down with the union to sort of finalize that. We have had a lot of preliminary discussions but both sides have said to the other kind of look until there is a power contract unfortunately you can’t really parallel this one. It’s really a – it’s really a serial process. So, unless and until there is a power deal that works for us to sit down and finalize that labor contract just doesn’t make any sense but we’re reasonably confident that could be done in a reasonably quick period of time once we got to a power arrangement that we thought would work.
Sal Tharani - Goldman Sachs: So, is it sort of implies that electricity contract is a bigger hurdle than the labor contract at Ravenswood.
Mike Bless: Much.
Sal Tharani - Goldman Sachs: Okay, great. Thank you very much.
Mike Bless: Thanks, Sal.
Operator: Our next question comes from Richard Garchitorena from Credit Suisse. Pleas go ahead.
Richard Garchitorena - Credit Suisse: Thanks. Good afternoon.
Mike Bless: Hi, Rich.
Richard Garchitorena - Credit Suisse: My first question, I just wanted to touch on the cash costs, can you remind us your exposure to [net cash] I believe the power contract in Mt. Holly has some tide to that and then what’s the exposure there?
Mike Bless: Yeah. We - it is tied to that mostly now there are periods in which it’s less tied than others but mostly it is through at least December 2015 while the current amendment is in place, it is tied. Just to give you a sense the power cost quarter-to-quarter at Mt. Holly were about flat Q4 to Q1. And Rich, we haven’t published perhaps and we’ll next quarter if it’s something that people are interested in sort of sensitivity like we’ve done in the past. For example you may remember although it may have been before your time when you are covering the company back when we owned half of the Gramercy refinery and with us a big buyer of natural gas. We used to publish a sensitivity IE so many millions of dollars of cost or cash cost or cash flow per dollar of MMBtu we haven’t done that yet but it’s something that we could certainly do if and we’ll take that on board and do that.
Richard Garchitorena - Credit Suisse: Well, yeah, I do recall that.
Mike Bless: Yeah.
Richard Garchitorena - Credit Suisse: And I guess the question, is if it’s it going to be a material impact for the second half cash cost given where current spot prices are.
Mike Bless: Yeah, I mean power cost could be up given where the spot is right now, we’re not hedged there by design - we didn’t want to hedge that and obviously the prices down here over the last six, eight weeks so we’ll see where it comes but that could give rise to some increase power customer in all no doubt about it.
Richard Garchitorena - Credit Suisse: Okay, great. And then my second question is, you mentioned you had some commentary about the coming elections in Iceland. Can you just talk about what you’re currently working on there, what you think may occur and how that’s going to impact the project?
Mike Bless: Sure. We’re not working on anything we’re just sitting patiently waiting but as you may remember just some quick history. So the government the political parties that formed the government in Iceland during most of the last decade and frankly through almost all of Iceland’s post World War II history was a combination of parties that are reasonably Pro-business they are called the independence party and the progressive party. And those parties left the government – voted out of the government as a result of the financial crisis in the crash through which Iceland went in 2008 and 2009 and then this new government came in at 2009 that was comprised of – we have a parliamentary system there I'm sure you’re familiar with how that works comprises two parties the Social Democrats and the Left Green parties as you can guess their platforms and philosophy are less friendly towards heavy industry for a whole variety of reasons than the others. And so and all the polling have said continue to say that, that those two parties that have generally been in government that progresses in the independence will be the two winning parties on Saturday and thus we just believe that perhaps the environment there has been conducive. The existing government has done some positive things no doubt but we believe that perhaps in this post election environment we may get the momentum we need to sort of push a few things over the goal line. I mean the project really is ready to go and it really is in our view we’re biased of course but when you read independent people’s view like the IMF and others, the project really is an important one for Iceland. So we’ve got some optimism year going forward.
Richard Garchitorena - Credit Suisse: Okay. And then in terms of the financing that you have secured is there any deadline or any expiry for that where we had to negotiate or?
Shelly Harrison: Richard, as we had mentioned before it’s not a committed financing it’s something we worked on for a significant period of time, we have a 50 plus page term sheet we’ve negotiated all the details but it’s sitting on our shelf for the period of time it’s not committed there are no deadlines.
Richard Garchitorena - Credit Suisse: Okay, great. Thank you.
Mike Bless: Thanks.
Operator: Our next question comes from Dave Gagliano from Barclays. Please go ahead.
Dave Gagliano - Barclays: Hi, sorry to drag on a little bit, just a quick follow up. On the Hawesville, I was wondering, if there was a way for you to frame the EBITDA contribution in a dollar 9 realized price environment like we had in Q1 from that?
Mike Bless: Sorry, Dave. The realized price the delta especially where you’re heading Dave in the current power price we’re paying versus a market price is insensitive but there is no sensitivity to the how we price because it’s just, it’s a fixed reasonably fixed tariff we’re paying today of course it changes based on the power providers cost of operations but it’s reasonably fixed. And then market power prices in the U.S. energy prices are it certainly not fixed, they trade up and down every day but they have no formal of course correlation in relation to the how we price. And so there is no sensitivity there but the math is pretty simple it’s just that $15 delta that which I talked, times of utilization rate is high so it gets you up to maybe let’s call it $225ish per ton of aluminum and then you multiply that by 250,000 ton. So it’s – as we said its $50 million plus in EBITDA on an annualized basis pardon me.
Dave Gagliano - Barclays: Okay, right. But I – actually what I was trying to get out was really what is the cash cost at Hawesville right now I am just trying to frame, what might change if it's shutdown and in terms of the financial impact (inaudible).
Mike Bless: We haven’t we were, we've given you obviously U.S. and Iceland distinct costs both actual and forecast we haven’t broken out David Mt. Holly and Hawesville in the U.S. that's getting on some reasonably competitive pressure there and we just haven’t done it and we’d prefer not to.
Dave Gagliano - Barclays: Okay, Okay just a follow-up then just on the cash cost between Iceland and the U.S. can you give us the volume split between Iceland and the U.S in the first quarter?
Mike Bless: Sure.
Shelly Harrison: Yeah so shipments for the U.S in the first quarter were 88,000 tons for Iceland 71,000 tons.
Dave Gagliano - Barclays: Thank you.
Operator: And we have a question from David Olkovetsky from Jefferies. Please go ahead.
David Olkovetsky - Jefferies: Just a couple of quick follow ups to you housekeeping income statement stuff. So on the - in the first paragraph you have a $2.2 million litigation reserve the $15.7 million contingent obligation and the $2.2 million severance I just wanted to know what line items in the income statement those three were in?
Mike Bless: Sure.
Shelly Harrison: Okay, all right. Let me go one by one so the severance and relocation costs are going to be in SG&A. The litigation reserve adjustment is going to be in other operating and the - what was the third one you mentioned?
David Olkovetsky - Jefferies: The – beyond contingent…
Shelly Harrison: Beyond it’s going to be – you’ll see it is clear on the income statement is …
David Olkovetsky - Jefferies: That’s the 15.7.
Mike Bless: It’s a discrete caption on the income statement
Shelly Harrison: Yeah, it will pop out.
David Olkovetsky - Jefferies: Yeah, okay, that's what I thought I just want to make sure that's the right one. Okay that's it, thanks.
Mike Bless: Thanks.
Operator: Next we have John (inaudible), a private investor.
Unidentified Analyst: John (inaudible) Independent Research. Congratulations on the (inaudible).
Mike Bless: Thanks John, how are you?
Unidentified Analyst: Good, good I may not understand the accounting right but I just want to run through this exercise to show how many degrees of freedom we have. My understanding is that auditors look for enough liquidity to get through the next year, when the exercise would be nine or ten months from now in closing the 2013 books. And you probably have enough liquidity to get through the next three or four years but could you run through first your liquidity and debt maturities which I think the principle test for accounting - certain accounting test and then second would the Grundartangi smelter operating alone get enough to carry your company?
Mike Bless: Sure. So, let me -- Shelly take the liquidity that's pretty straight forward answer.
Shelly Harrison: Yeah so as I mentioned we ended the quarter with $195 million of cash on the balance sheet, in addition to that we have our revolving credit facility we don’t have any borrowings against that facility at this time but we do have letters of credit so our net availability on that is about $50 million. So that would be our general liquidity position.
Mike Bless: On the second question John, I’m not quite sure how to when you say carry certainly from a…
Unidentified Analyst: I’m talking about the cash flow running just that smelter.
Mike Bless: Oh, sure absolutely, that's an easy one.
Unidentified Analyst: And what’s the other ones ideal.
Mike Bless: Sure, absolutely.
Unidentified Analyst: So they would pay for the front office.
Mike Bless: It doesn’t take much but yes sir it would indeed.
Unidentified Analyst: And would pay for your interest expense too.
Mike Bless: Yes, sir.
Unidentified Analyst: So if the aluminum price fell a couple of pennies in new ideals and smelters you’re able to get over that bump in the road.
Mike Bless: Absolutely from a liquidity standpoint. Yes John.
Unidentified Analyst: Thank you. I just wanted to – everybody is probably thinking this and not asking and I just thought I’d ask the question. Thank you.
Mike Bless: Thank you.
Operator: And we have a question from Paretosh Misra from Morgan Stanley. Please go ahead.
Paretosh Misra - Morgan Stanley: Hi, guys just…
Mike Bless: Hi.
Paretosh Misra - Morgan Stanley: One quick question on your power costs in Iceland at Helguvik. I know it's linked to LME aluminum price but does that link to the current month LME or is that maybe a three month lag aluminum price?
Shelly Harrison: Yeah, at Grundartangi it's current month LME.
Paretosh Misra - Morgan Stanley: And your pricing is also based on current month LME not one month lag, right?
Shelly Harrison: The total is one month. The total one month lag power contract current month.
Paretosh Misra - Morgan Stanley: Got it, great. Thanks, guys.
Mike Bless: Sure.
Operator: And we have a question from Paul Massoud from Stifel. Please go ahead.
Paul Massoud - Stifel: Thanks just a quick question. I mean you touched on South, the contract with Southwire but I was curious about the contact with Glencore from Hawesville, I mean if Hawesville were to shut down other obligations that we have to -- you’d have to fill from Mt. Holly or would that also be canceled with the shutdown at Hawesville as well?
Mike Bless: That's just a sweep contract so they take whatever free metal is there so but definitionally if there were no metal there is no obligation.
Paul Massoud - Stifel: Okay.
Operator: And we have no further questions in queue.
Mike Bless: I appreciate everybody’s time this afternoon and look forward to talking with you in a couple of months. Thank you, Rita.